Operator: Welcome to the TreeHouse Foods investor relations conference call for the first quarter of 2009. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements that do not relate solely to historical or current facts and can generally be identified by the use of the word such as, guidance, may, should, could, expects, seeks to, anticipates, plans, believes, estimates, intends, predicts, projects, potential, or continue, or the negative of such terms and other comparable terminology. These statements are only predictions. The outcome of the events described in these forward-looking statements is subject to known and unknown risks, uncertainties, and other factors that may cause the company or its industry’s actual results, levels of activity, performance, or achievements to be materially different from any future results, or levels of activity, performance or achievements expressed or implied by these forward-looking statements. TreeHouse's Form 10-K for the period ending December 31, 2008 discusses some of the factors that could contribute to these differences. You are cautioned not to unduly rely on such forward-looking statements, which speak only as of the date made when evaluating the information presented during this conference call. The company expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein, to reflect any change in its expectations with regard thereto, or any other change in events, conditions, or circumstances on which any statement is based. This call is being recorded. At this time, I would like to turn the conference over to Chairman and Chief Executive Officer of TreeHouse Foods, Mr. Sam K. Reed.
Sam Reed: Good afternoon everyone and welcome back to our TreeHouse. David Vermylen, Dennis Riordan, and I are please to invite you once again into our home for an early look at 2009 results to date and our prospects of the coming year. To borrow a sports metaphor in the height of playoff season, TreeHouse scored a triple/double in the first quarter just ended. Earnings per share increased more than 20% and well surpassed market expectations. Margins widened by 70 basis points driven by pricing, portfolio strategy, productivity gains, and procurement savings. Private label grocery revenue, lead by strategic growth categories hosted double-digit gains in both the United States and Canadian markets when denominated in local currency. By every key measure our Q1 was indeed a triple/double, marked not only by substantial improvement, but also by progress across a broad front. Additionally, our latest acquisitions, premium salsa and pourable salad dressing, generated a combined 25% sales growth in a cross border partnership of Bay Valley Foods and E. D. Smith. Although hampered by difficult market conditions, our food away from home and industrial and export business units maintained their base, lost no customers, and adjusted operations to defend margins. And finally, after a full year of rallying from behind in 2008, pricing finally caught up with input costs and contributed an incremental $32.0 million in revenues when compared to Q1 of last year. Looking forward, we expect another excellent year at TreeHouse. As David and Dennis will delineate in detail, we have good reason to believe that results will exceed those first forecast in February. Q1 represents a fast start that should continue through the whole of 2009. As usual, we have tempered this outlook with a careful assessment of potential risks, especially price roll backs, national brand discounting, softness in the food service and industrial sectors, and unhedged open commitments for packaging and energy inputs. Even as we weigh these risks we are optimistic about the year ahead. As we have demonstrated over the past three years, TreeHouse can perform consistently at the highest level. At this early juncture in the new year, we are both hopeful and determined to put together another winning campaign. Early indications are that our TreeHouse team will perform well and fare better than originally thought. While it will be another long year, and not one without surprises, we are off to a fast start.
David Vermylen: As usual, I will cover the top-line and overall performance of the business and Dennis will drill down into the financial results. Now that about 12% of our business is generated in Canada due to our late 2007 acquisition of E. D. Smith, I will define revenue in terms of local currency so that I am able to provide an apples-to-apples comparison. Dennis will provide the appropriate currency impact that is reflected in our financial statements. From an overall perspective I will characterize the first quarter as follows: good revenue performance despite real challenges faced by the parts of our business that are dependent on the food-away-from-home market; our retail business, which makes up nearly 65% of our revenue, did very well; very good performance in terms of direct operating and income margin as our mid-to-late 2008 pricing fully rolled through; and an excellent performance in terms of generating new business that will affect the second half of the year. Let me start with revenue. Total revenue in local currency was up 2.2% with very strong performance in our retail business, offset by declines in our businesses that are influenced by food-away-from-home consumption. North American retail revenue was up almost 12% in local currencies, despite continued declines in our pickle and our branded infant feeding businesses. Excluding pickles and infant feeding, North American retail sales were up 20% with excellent growth across the portfolio. Any category that started with an "S" did very well. Salad dressing and salsa both had double-digit unit and revenue growth, our sauce business did well, and although other reported soft soup sales, we had modest growth in units, despite Easter being in mid-April versus late-March last year. In terms of the Easter effect, as measured by Nielsen, private label soup sales were up 15% in units and 25% in dollars for the four weeks ending April 18. That period coincides with Easter. For the 12-week period, which smoothes out the Easter timing, total private label soup volume was up 3.9% and in dollars 15.1%. Our North American retail direct to operating margin performance was strong, up 330 basis points versus year ago. The keys to our year-over-year margin improvement were our 2008 pricing actions finally offset higher manufacturing costs, plus productivity and mix improvements. Our manufacturing costs were well above last year as our input costs reflect key commodity coverage that we took late last year before prices softened. That coverage is now rolling off. In terms of market data, we continue to show good private label share gains in our categories. There are no real call outs in terms of price gaps but we do expect an increase in branded merchandising efforts as we enter the summer months. But our customers are enjoying the benefits of private label growth and it's in their best interest to continue that growth. Our food-away-from-home segment's top line was challenged by industry softness in away-from-home eating and revenue was down over 4%. However, this compares favorably to an industry that is down close to 10% and I'm very encouraged by new business prospects that I will touch on later. Our industrial and export segment also faced a very challenging top line with revenue down 18%. The largest part of this segment is our sale of bulk creamer to other food manufacturers whose primary customers are in the food-away-from-home industry. We haven't lost any customers, it's primarily a food-away-from-home consumption and customer inventory tightening problem. In addition, the strengthening dollar did negatively affect some of our exports to Mexico. Also our low margin cold pack business, which is also part of this segment, was well below a year ago. While we don't break out individual product segments, I am very pleased with the progress we have made on pickles, which still account for about 20% of sales. Last year we closed a plant in exit of a lot of unprofitable retail business. We analyzed the business by production plant, by product type, and by customer. While our units were down 17% and revenue down 11% versus the first quarter of 2008, direct operating income was up 16% with margins up 360 basis points. With a better understanding of the business, we have recently engaged our selling efforts by targeting customers that can play a strategic role in terms of crop balancing or line efficiencies. These selling efforts should start to pay off for us in the second half of the year. Over the next 12 months we will continue to fine tune the pickle business. As I mentioned on the last call, I was really looking forward to the organization being able to convert all the time spent last year on fighting input costs and getting pricing, the time spent on new business development, and attacking the center of the P&L in terms of driving out costs. I am very pleased with the progress we are making on both fronts. In terms of new business, we have secured more new, analyzed business for North American retail and food-away-from-home in the first 4 months of this year than we achieved all of last year. Revenue from these winds begins in the second quarter, with most kicking in by late in the third quarter and we have many more opportunities we are working on that could still affect 2009 and certainly 2010. Second, it is a pleasure to watch our procurement team shift from delivering daily bad news on input costs to working across the organization on major packaging and raw material cost savings projects. Third, we were able to spend far more time with our customers and in our plants to both build the business and improve operating performance. That was tough to do last year as we successfully fought input cost increases. I am very optimistic about the rest of the year. We are well covered in terms of input costs for the remainder of the year which will allow us to stay focused on our two key operating objectives: top line and physical volume growth, and attacking the center of the P&L. Finally, let me comment on price roll backs due to lower input costs, as I know it is always of interest to investors. So far our price roll backs have been modest and primarily focused on our industrial creamer business where we have cost pass through contracts. As those costs change, so will the price change so will the price but not at the expense of profitability. On the retail side some modest adjustments have been made but we are pleased with what we are seeing. However, we are in a business that periodically faces bids, thus we are always in a very competitive environment. I will now turn it over to Dennis.
Dennis Riordan: Since David covered our revenue in local currency, I will focus on other key aspects of our operating results, including reported revenues, gross margin improvement, lower operating expenses, and a higher effective tax rate. Reported revenue in the quarter showed a 1.5% decrease from last year, however, this decrease was due primarily to foreign currency changes. As David mentioned, we currently have approximately 12% of our revenues generated in Canada. During the first quarter of 2008 the average exchange rate for the Canadian dollar to the U.S. dollar was nearly 1-for-1. In 2009 however, the average Canadian exchange rate was approximately $0.80 to the U.S. dollar. This change in rates means our Canadian denominated sales will experience a 20% drop when comparing the translated sales in 2009 versus 2008. Had the total sales been measure in local currency to exclude the translation difference, our consolidated sales would have increased by 2.2%. The increase in local currency revenue was driven by strong retail grocery sales, offset by the weakness in the food-away-from-home market. With regard to gross margins, we managed to buck the trend of many of our peer companies in the packaged foods industry and show year-over-year improvements to our overall gross margins. We did this despite a very challenging environment, especially in the food-away-from-home segment. Our retail direct to operating margin improved from 11.6% to 14.9% as we were able to offset average unit cost increases of about 11% with pricing and productivity improvements. This was especially evident in our retail pickle business where unit volumes were off 27% but direct operating income improved by over 30%. The rationalization program we initiative last year with the closing of our Portland, Oregon, pickle plant is now in full effect. In fact, the first quarter of 2009 was our highest quarterly pickle margin since the company went public in 2005. Overall we saw margin improvement in our key retail product categories of soup, salsa, and salad dressings. In the food-away-from-home and bulk and industrial segments, the margins were challenged due to increased unit costs and not enough pricing to fully offset these increases. In addition, with consumer eating habits shifting towards at-home meals, unit sales decreased and that caused additional margin pressures. The one area of food-away-from-home that has held up well was our pickle business with national quick-serve restaurant chains. Despite the revenue pressures, we finished the quarter with direct operating income of 10.5% in food-away-from-home compared to 10.7% last year. Direct operating income in bulk and the industrial segment decreased from 13.7% to 11.5% of sales as the combination of lower sales to industrial customers and a drop in cold-pack volume, led to unfavorable manufacturing costs. Total selling, distribution, general, and administrative expenses in the quarter were $41.6 million compared to $43.9 million last year, a decrease of 5.4%. Excluding currency effects, expenses would have been down 2.0%. The decrease in spending is primarily due to lower freight costs on shipments to customers. Our G&A costs increased slightly as we made investments in new staff, combined with normal annual payroll increases. Other operating expenses decreased significantly from last year because in 2008 we recorded the initial costs related to the closure of the Portland, Oregon, pickle plant. In 2009 we had only minor costs in the quarter associated with ongoing maintenance at that closed facility. Interest expense in the quarter totaled $4.5 million compared to $7.7 million last year. The large decrease was due to a combination of lower average debt outstanding and lower interest rates. Our effective tax rate for the quarter was 37% compared to 26.3 % last year. Last year's rate was very low due to the reduced U.S.-base income as a result of the plant closure, combined with a significant deduction for intercompany interest expense. In 2009 we had much higher U.S.-based income and the amount of the deductible interest expense was reduced by a weaker Canadian dollar. We now expect our full year tax rates in 2009 to be in the range of 36% to 37%. In total, our earnings for the quarter were $12.7 million compared to $2.1 million last year. This represents fully diluted earnings of $0.39 per share in 2009 compared to $0.07 per share in the first quarter last year. After considering the one-time items associated with the plant shutdown costs and intercompany loan revaluations in 2009 and 2008, our adjusted earnings per share increased by 20.6% to $0.41 a share in 2009 compared to $0.34 a share in 2008. So to recap the first quarter, our revenue growth was good, after taking into account the decreased due to pickle rationalization and the 20% reduction in average Canadian exchange rates compared to last year. We saw the benefits of our focus on improving margins and the continued diligence and control in operating costs. We experienced higher income tax rates but this was caused by increased U.S.-based income and the negative effect of the Canadian exchange rates. All in all, we overcame these challenges and managed to improve adjusted earnings per share by over 20%. In regard to the outlook for the year, we are very pleased that we have gotten off to such a flying start. We have seen very good results in our retail grocery business and we believe our productivity and sales initiatives will continue to drive margin improvements. As such, we are raising our full guidance from our original estimate of $1.80 to $1.85 a share to $1.82 to $1.87 per share, despite out expectation of a higher than planned tax rate for the year. Sam, I will now turn it back to you.
Sam Reed: Before we open the call to your questions and comments, I would like to comment on three underlying aspects of our strategic agenda for TreeHouse. Although not as exhilarating as the triple/double, they are the underpinnings that make such quarterly performances possible. First, investments in infrastructure. While it is short-term growth and performance measures that dominate the financial market's interest in TreeHouse, it is our continued investment and our marketing and operational capabilities that drives shareholder value in the long term. We must continuously advance our strategic thinking, invest in innovation and productivity, as well as upgrade systems and management, in order to create a competitive advantage for TreeHouse, both as an operating company and as an investment worthy of your capital. To this end we have made the following significant investments in infrastructure that will show benefits in early 2009: in salad dressing, expansion of one legacy E. D. Smith facility and closure of another, thereby improving our access to our fastest growing market—pourable dressing and marinades in the U.S. market; in non-dairy creamer, reopening of our New Hampton, Iowa, plant thus restoring 70.0 million pounds of highly efficient, low-cost manufacturing capacity; in soup and gravy, conversion of the Pittsburgh power generation facility to cheaper, more efficient fuel, thereby reducing input costs while addressing environmental issues; and lastly, in logistics, commissioning our Midwest distribution center, which will consolidate products from 8 plants, thus extending our one-order-one-invoice-one-truckload promise to the ranks of our LTL, less than truckload, customers. While none of these projects will command headlines, all will dictate the back story that drives bottom-line profits and top-line growth. Our capital expenditure program of $30.0+ million is truly focused on furthering our go-to-market and supply chain strategies. Second, acquisition prospects in a quiet M&A market. Despite the pall cast over the M&A sector, we continue to see a steady stream of acquisition prospects. These are mostly opportunities of our own making, largely due to our strategic presence rather than investment bankers' deal acumen. Note that I have characterized the flow as neither a torrent nor a trickle, but a steady stream. At this juncture in the recession, most candidates are either depressed operations or strategic orphans. Some are private equity holdings in search of an exit. Many face working capital and other financing needs when none is available. Although the opportunities are more limited, I will reiterate our plan to expand via large-scale acquisition in the near future. We have the capital, resources, and wherewithal necessary to expand the TreeHouse portfolio into attractive adjacent product categories. Our focus will remain primarily strategic rather than principally financial in nature. Its critical elements are strategic fit with our go-to-market plans, future growth prospects within the product category, and supply chain synergies. As our E. D. Smith and San Antonio Farms experiences have demonstrated, this alignment of strategic opportunity and purpose is the surest route to superior financial performance. We will keep you posted as events unfold. Third, our TreeHouse provides a room with a strategic view. This earnings season the packaged foods industry is atwitter with blogs on national brand woes, trade-down phenomena, consumer flight to value meals, whether consumed at home or brown-bagged, and demands for national brand price roll backs. Monthly scan data have become our Delphic oracle as all of the food industry seek an omen portending economic recovery or at the very least a return to grocer prosperity. Like everyone else, we at TreeHouse are searching for the small telltale signs of immediate tactical advantage for imminent short-term danger. However, unlike many, we have also maintained a strategic perspective of long-term trends on the industry horizon. Perhaps our vision is aided by a lofty perch in our TreeHouse far above those at ground level. We see fundamental change in consumer and customer behavior that while it may have been brought on by recent economic recession and consumer uncertainty, will direct the course of our industry well beyond economic recovery and well into the next decade. While we may see trading down as a temporary phenomenon we know that trading smart is here to stay. These changes and their implications for our industry in general, and TreeHouse specifically, include the following five developments: Consumers will demand not only value from private label but also quality and selection; Grocers will primarily compete through proprietary customer brands rather than through heavily promoted national brands; Private label customers will demand greater strategic insight, product innovation, customer service, and logistics economies to scale from their supplier; Private label manufacturers will both consolidate and evolve in a purely cost-based competition as customer brands achieve parity with national brands in terms of imagery, quality, selection, convenience, and price value; and lastly Growth in the private label sector will be driven by industry consolidation rather than the development of new markets. While value will be determined by strategic advantage rather than financial engineering. Although much of this strategic perspective dates back to the founding of TreeHouse, we now believe that these fundamentals deserve a second look in these uncertain and difficult times. In each instance we see these developments as both supportive or our strategy and long-lasting in nature. TreeHouse will be a primary beneficiary of the confluence of these trends. While these factor have accelerated due to these hard and uncertain times, they are inexorable forces and will continue to drive change in our industry for many years to come. Upon strategic reflection, our conclusion is that not only are the times right for TreeHouse, but also that TreeHouse is right for the times. We will now open the call for Q&A.
Operator: (Operator Instructions) Your first question comes from Ken Goldman – J.P. Morgan.
Ken Goldman – J.P. Morgan: I had a question on second quarter. I am looking at last year, you have some fairly easy comps. It's possible that Easter could benefit you in that quarter. You are lapping infant feeding and the things you've done there. Is there any reason to think that the second quarter won't be a particularly strong one, as we look at the last nine months of the year?
Dennis Riordan: We started off well and we aren't giving second quarter guidance, I just want to remind you that as we move out of the soup and powder season, which tends to be a higher margin category, we start to enter pickles, which as we said, has done quite well but it's historically been in the lower range of our margin and that's where the weight is, so typically you wouldn't see a big improvement in margins. But as I said, we're off to a nice start.
Ken Goldman – J.P. Morgan: I don't mean so much sequentially as year-over-year. I mean, I think, if I'm looking at my model right, your earnings growth last year, the weakest quarter was Q2 so the comp should be easier. And am I correct in thinking that infant feeding lapping should help you in that quarter as well?
Dennis Riordan: Yes, since we said the infant feeding lapping for the most part was over in the first quarter of this year.
Ken Goldman – J.P. Morgan: And just a more broad question. As you think about acquisitions and whether to make particular ones or not, I'm sure you're looking at ways of getting into new categories via other methods. And what I'm thinking there is, is it possible to go into new categories, if you're working with a retailer, doing a good job with them, that are adjacent to the ones you work with now. For example, if you're making salsa, can you get into other tomato-based products, and if not, why not?
David Vermylen: That's a very good question and is a big opportunity area for us. One of the things that we do with our retailers, and one of the benefits of having more time for me to go out and meet with customers, for Harry Walsh to go out and meet with customers, is that we can talk about how do we leverage the manufacturing assets that we have into other categories. And we principally focus that activity on very large customers that can help us jump-start our way. We will present to them, here are the assets that we have, we can share with them with R&D capabilities. I mean, as you pointed out, the difference between salsa and pasta is primarily marketing. And what we are really able to do is to talk to them about them about this. And so think it is a very attractive area for us. In addition, given our supply chain efficiencies, we are also talking to customers about adjacent categories where we may not have the manufacturing capabilities but we have relationships with other manufacturers who do not have the supply chain capabilities that we have to move it into the customer, where we can move forward with the customer as well. So again, one of the really good benefits of being to spend more time at a senior level with customers is our ability to talk about and pursue those opportunities.
Operator: Your next question comes from Jonathan Feeney - Janney Montgomery Scott.
Jonathan Feeney - Janney Montgomery Scott: I wanted to dig into, you talked about the industry pricing outlook, your pricing outlook looking pretty good, that there's only been pockets of maybe price roll backs and I'm wondering, on a spot basis, how much year-over-year would you say you're feeling relief from a commodity standpoint. And if you're able to hold pricing over the course of the year, how positive could commodities be versus year-over-year level?
David Vermylen: I don’t want to go into specific detail but I think that as we are seeing our pricing holding in general and commodities coming down, that one of the reasons for our being quite optimistic about the last three quarters of the year is just that. I think that we will be in a better position at the end of the second quarter to really know where we are in terms of the pricing. Because at that point, in a number of our key categories, we will really understand what's on the marketing horizon during the summer, especially as it relates to very competitive categories such as salad dressing.
Jonathan Feeney - Janney Montgomery Scott: You specifically called out trade deload in your U.S. retail discussion and I guess one of the surprising aspects for some of the branding companies so far has been deload sort of faded to the background as a headline. I remember last quarter you didn't see the deload that a lot of other people saw. Can you tell me where we stand in terms of like retail inventories and what talk still of retailers taking down levels. Is this something we're going to see throughout the year.
David Vermylen: I think when I referring in my opening comments to inventories, it was principally in the food-away-from-home and our ingredient and export channel. In our retail business I didn't call that out and it just didn't seem to be an issue for us this quarter. I'm sure that some customers did it but it's not something that we would say had a measurable effect on our business.
Jonathan Feeney - Janney Montgomery Scott: I actually was just referring to the relief. But I see where you were probably talking about the food service stuff.
Operator: Your next question comes from Bill Chappell – SunTrust.
Bill Chappell - SunTrust: To follow up a little bit on pricing, I guess first on the industrial side, was there additional price decreases or roll backs during the quarter from what you had thought in January or did that come in in line with your internal expectations. And on the retail business, as you look to the rest of the year, are you baking in certain roll backs already or have you seen any pressure right now for anything imminent?
David Vermylen: On the industrial side, it really came in very much as we expected. On the retail side, maybe modestly less than we expected, and it tends to be isolated. Where we really expect the majority of the declines would have been on the industrial side. And I think it is safe to say that as we have been moving through month-by-month, we're not seeing the level of conversation discussion about roll backs that I expected. But what we will see, though, may have to deal with what happens with the nations brands in terms of their merchandising activities as we hit the summer months. And then how do we have to respond to that. But as I mentioned in my comments, the retailers, they are seeing the growth in the private label, how profitable private label is for them, and we have a very good partnership with our retailers in continuing to build a private label business. So we have a very important ally out there in terms of both keeping our pricing forward and not letting the brands just turn into a free-wheeling spending level.
Bill Chappell - SunTrust: You may have broken this out, but when you look at the core retail growth of 12% in the first quarter, how much of that was new business versus just growth of your existing customers?
David Vermylen: There would be some new business in there but only, I would think, a modest level. We had outstanding growth on salsa. We had some significant new business on salsa that started the second half of the fourth quarter of last year that has carried over until this year. It's mostly, not the term organic food, but organic growth that we are seeing, and just gaining share, customer by customer.
Bill Chappell - SunTrust: As you're going out competing for new business, would that really affect the second half of this year or you now really fighting for business for 2010.
David Vermylen: We are doing both. The majority of the new sales initiatives that I highlighted in my comments are sales initiatives that the decisions were made between January 1 and now and the sales for those initiatives will really start in the second and third quarters and continue to roll through the year. At the same time, we are working on new initiatives for the rest of the year and for 2010. One thing about the private label, as well as the food service world, is that the selling process is a long time. It can be six, nine, to twelve months with retailers, to make things happen. It's a lot longer in the private label and food service arena than it is in the branded arena.
Operator: Your next question comes from Andrew Lazar - Barclays Capital.
Andrew Lazar - Barclays Capital: Just a couple of things. First, the upside to I guess where Street views were on the quarter were about $0.05 or so and you're rolling through about $0.02 for the full year. I'm assuming just it's the first quarter and there's a lot of moving parts, but I want to make sure there's nothing out there that specifically you see that suggest you're not comfortable flowing the whole thing through.
David Vermylen: You are right. I think Dennis pointed out that we're taking it up from $1.80 to $1.85 to $1.82 to $1.87 and that's despite our taking up our guidance on our tax rate. I always go to apples-to-apples, we're probably flowing through on a apples-to-apples basis, the majority of what we saw in the first quarter. And as you pointed out, it's early in the year and you've known us for quite a long time and we are pretty cautious.
Andrew Lazar - Barclays Capital: If I look at North American retail grocery, in the quarter, with volumes down 2 and excluding FX up 12, I guess it's pricing up 14. And I realize this was the full flow through type of quarter. Going forward, how do I want to think about that? When do you start to lap the significant pricing you started taking there last year? And then I think in the second quarter you will start to lap some of the pruning so is it as your volumes start to look a little bit better because there's not as much of a drag on it, but when you start to lap the significant amount of that pricing, because I want try and get a sense of how to better model that going forward.
David Vermylen: It really starts in the third quarter and fourth quarter, is when the majority of our pricing kicked in last year. So that will continue to obviously flow through the first and second quarters of this year and to a certain extent even to the third. And I think what we will see is with the sales initiatives we have underway, that the quality of the revenue growth I am optimistic will get better as we're really driving on physical volume, and less on pricing in terms of driving the total top line.
Andrew Lazar - Barclays Capital: Just on the overall soup category. I've heard a lot of discussion lately and a lot of the data sort of suggest the category as a whole, and not specifically private label, has been kind of weaker than most would think in an environment like this. And it's not consistent with what we've seen from category growth for other simple meals that would compete and interact with soup. So I don't know if it's just some of the pricing from Campbell starts to flow through and therefore consumers are adjusting. I don't know whether it's soup isn't dinner on a plate and so people are just kind of leaving it off the whole meal simplification thing. The crux of it, it just seems like soup really is a pretty good value at the end the day. And I just don't get why it's not doing better as a category.
David Vermylen: I agree with you. Soup is a simple meal and a very good value and at the end of the day, I think there is an old expression about tired categories and what can cause that. And I think this is a category, this is not a category that you're going to see double-digit growth in but this a category that year in and year out should be consistently, in term of units, growing at last with population. And I think it has more to do with marketing and innovation and advertising than it with any fundamental changes in consumer behavior. And we operate in the non-branded world and from the products we're offering our customers and how they are positioning our products to their consumers, we are seeing a very good response and we're seeing very good returns for us from the kind of growth that we're getting.
Andrew Lazar - Barclays Capital: A lot of talk obviously about the roll out of great value at Walmart and I'm not sure how much help you can be on this, but from our end we get very limited detail on which category it's a bigger effort in versus others and therefore it's also hard to get a sense of how much that either really helps you or not. Is there any way you help, even directionally, sort of say is this happening in categories where you might operate as well and is that, can it be really meaningful, like it moves the needle for you over some period of time or are we all making more of it than maybe we should?
David Vermylen: In the categories that we operate in, Walmart has always had a—private label has played an important role. In non-dairy creamer, I think that private label probably has a market—we don't get specific market share data—but I think our share and private label in Walmart if comparable to grocery. Some of our categories are probably lower and I think that's going to be lower share than relative to normal grocery, and that's going to be an opportunity. I think right now more of Walmart's emphasis is expanding great value into other categories beyond the ones that we're in. But I think as they continue to build their great value and private label program, we will continue to benefit from it, maybe not to the same extent as those categories that they're just really getting into significantly for the first time.
Operator: Your next question comes from Robert Moscow - Credit Suisse.
Robert Moscow - Credit Suisse: The question I get the most on private label is how high is up and we try to think about all kinds of ways to measure it. Can you give us a sense of what percentage of your customers are increasing the number of facings for private label? And maybe that could help us understand how much of this is a permanent shift as opposed to consumer kind of dipping their toe here and maybe they keep doing it and maybe they don't. And the second question is, is manufacturing consistency one of the obstacles for private label, just in general for some of these retailers. Like they're just concerned they can't get the same consistent product throughout their chains nationally?
Sam Reed: On the first question, in terms of private label customers, I don’t think we have a customer out there who is not articulating a grow-private-label-share strategy. How they get there, how they execute it will be different but there is certainly no who says that they want private label to play a lesser role. Now whether that translates into new items moving from a one-tier private label strategy to a two-tier or even a three-tier, it will really differ by customer. But everyone is one a growth trajectory whether it's—we talked about Walmart and Great Value, Safeway. Super Value has articulate moving from 17% to 25% over the next few years. It is across the board. On our second question, that consistency of product is very, very important to them and we think that puts TreeHouse at a competitive advantage because our breadth of manufacturing capabilities that we have and our R&D capabilities. We can meet the needs of the national retailers with consistent product quality day in and day out. And for a retailer to be out sourcing product from three or four different soup companies, it's hard to get consistency when you're doing that and one of the things that we can bring is consistency of product quality and consistency of customer service. Make their lives easier.
Operator: Your next question is a follow-up from Ken Goldman – J.P. Morgan.
Ken Goldman – J.P. Morgan: I just wanted to follow-up on Andrew's question on soup, because I think it's as perplexing for us as it is for him and maybe the rest of the investment community. I think the color you provided was interesting. I wonder if you could talk a bit which of those areas you think is most tired. Whether it's marketing, innovation, advertising. Because I look at the innovation and maybe this soup season didn't have a lot but in the last couple of years we've had sea-salt, low sodium soups introduced, we've had really I think a very successful product from Progresso come out with Weight Watchers. And then I think about the marketing this year and these two sort of went at it saying your soup is less healthy than ours, no, you soup is less healthy than ours. And I'm wondering if that latter marketing strategy really hurt the whole category more than those guys expected it to.
David Vermylen: I have to be obviously very cautious in my comments, but when I look back to two years ago, there was—what drives a category? What drives a category are brand leaders focused on attracting more consumers by marketing the positives of innovation brought to life through great advertising and promotion. And when brands get caught up in fighting for share, and your point of there was a lot of, early on in the season, sort of creating awareness of negatives, hoping that there were positives being sold, I think resulted in the marketing this year not being as positive and consumer-building as it was in the 2007 and 2008 year. And I'm not sure how the brands have responded to the same question, but as someone who's in the category, you know, I like brands that are aggressive in selling the positives and being innovative and not fighting out in the trenches with messages that don't stimulate the consumer to jump into the category.
Ken Goldman – J.P. Morgan: We are starting to see the Vlassic duck, or whatever species he is come back on TV more often. Have you seen any positive effects from that yet or is it too early to tell?
David Vermylen: I think it's too early to tell because the real pickle season is just beginning now. But in just looking at Nielsen data for the market, the category is doing a little—not that it's positive year over year but the rate of decline is a lot less than it was a year or two ago. Private label, as we look at private label pickles, as measured by either Nielsen or IRI, I think we've had at least 6 and probably 8, four-week periods of private label and our private label business showing nice unit growth, let alone dollar growth. So if the Vlassic stork can help build the category, I think that's a very, very good thing.
Ken Goldman – J.P. Morgan: I know you can't talk about fiscal 2010 but the tax rate. Is there any reason to think that 37% is not a reasonable long-term number or is that just this year and maybe there's some one-time effect in there bringing it higher?
Dennis Riordan: I can't go out that far, but yes, the issues, as I indicated, was we certainly had better income in the U.S. which was great, and that shifted us to a little higher tax rate. But the exchange rates played into it as well. And not knowing and not predicting yet what Canadian exchange rates are, it's kind of hard to answer that question.
Operator: There are no further questions in the queue.
Sam Reed: Thanks again for joining us. To reiterate, it has been an excellent quarter and a great start to a year that we anticipate will be a very fine one. We are quite optimistic in that regard. And we expect to talk with all of you again in the dog days of August, I think that first week.
Operator: This concludes today’s conference call.